Anna Tuominen: Good afternoon. My name is Anna Tuominen, and it is my pleasure to welcome you to Marimekko's Q3 results webcast today. With me, I have our President and CEO, Tiina Alahuhta-Kasko. And in a short while, she will tell you in detail about our results. After that, we have time for your questions with Tiina and our CFO, Elina Anckar, answering. I would like to invite you to already during the presentation to use the chat function to record your questions for the Q&A session. Without further ado, Tiina, please go ahead.
Tiina Alahuhta-Kasko: Thank you, Anna. And good afternoon also on my behalf, and it is my pleasure and honor to share with you our third quarter interim report results. So how did we do in the third quarter? The answer is we did well. And namely despite the continued challenging macroeconomic environment, Marimekko's net sales and operating profit increased in the third quarter. Our net sales in total grew by 8%, landing to EUR 50.8 million. Our net sales were driven and boosted in particular by the increased wholesale sales, both in Finland and abroad. And in total, our net sales in the domestic market, Finland increased by 7% and our international sales increased by 8%. Driven by the growth in net sales, our comparable operating profit improved by 14% to EUR 12.7 million, representing 24.9% of net sales. Overall, we can see at Marimekko that our continued strong development in our business paired with our good financial position give us good premises to continue our efforts and investments to scale up both the global Marimekko brand phenomenon as well as our profitable growth. We firmly believe that the winning brands of the future are determined in the more challenging market environment. But let's look at the drivers behind our results in more detail. Starting from net sales. As mentioned in the third quarter, our net sales grew by 8%, and they were boosted especially by the increased wholesale sales, both in Finland and internationally. In our important domestic market, Finland, our net sales grew by 7%, boosted especially by these increased wholesale sales, which were partly attributable to the domestic nonrecurring promotional deliveries. Then our retail sales in Finland fell short of the strong comparison period. But what is good to remember is that when we look at cumulatively in the first 9 months, also the retail sales in Finland grew. Then in our company's second largest market, the Asia Pacific region, our net sales increased by 8% due to growth in wholesale sales. And namely, our wholesale sales actually grew in Asia Pacific region. And this, of course, includes our sales to our loose franchise partners by 10%. Retail sales in the Asia Pacific region were on par with the comparison period. And in total, our international sales grew by 8%, and we saw net sales increasing in nearly all of our international market areas. Then when we look at the first 9 months of the year, our net sales increased by 5% to EUR 134.8 million, boosted especially by the growth in wholesale sales, both in Europe and in the Asia Pacific region as well as the growth in retail sales in Scandinavia and in Finland. Our net sales in Finland grew by 3% due to -- especially by the positive development of our omnichannel retail sales. What we're also happy about is that our wholesale sales in Finland grew in the first 9 months, even with the nonrecurring promotional deliveries in domestic wholesale sales being considerably below the comparable year. Then when we look at the international markets, our international net sales increased by a nice 8% when both wholesale sales and omnichannel retail sales grew in almost all international market areas. Our wholesale sales also increased in the Asia Pacific region with our retail sales being on par with the same period the year before. However, the market areas net sales decreased as no licensing income was recorded in the period under review, unlike in the strong comparison year. What is good to remember, though, is that at Marimekko, we recognize the net sales from licensing income according to the geographical location of our contractual licensing partners, Domicile. Then if we exclude licensing, in the first 9 months of the year, our net sales in Asia Pacific region would have grown by 4%. Then when we look at our net sales development based on market area or by product line, there are no major differences here. However, what I would like to lift is that in the first 9 months, the particularly strong growth was seen in the ready-to-wear category, namely in the first 9 months of the year, our ready-to-wear fashion segment grew by 17%, which then meant that the share of fashion of all our net sales in terms of the product lines grew to 38%. Our omnichannel store network, of course, constantly develops. And today, 169 Marimekko stores serve our customers in addition to our online stores serving already in 39 countries. And in terms of the number, the highest number of Marimekko stores has already long been in the Asia Pacific region. Our brand sales in the first 9 months amounted to EUR 286.9 million. And then if we look at our profitability and how it has developed in the third quarter, as mentioned at the start of this presentation, our comparable operating profit improved by a strong 14%, amounting to 24.9% of net sales, which is a very high level. Our operating profit was EUR 12.5 million and the comparable operating profit totaled EUR 12.7 million. Of course, it was the increased net sales that supported the strong operating profit, while then on the other hand, the lower relative sales margin as well as the higher fixed costs had a negative impact on our operating profit. When we look at the drivers behind the different factors, so the relative sales margin was weakened by the higher discounts than in the comparison period. While on the other hand, then what supported the relative sales margin was the strong product margins. Fixed costs grew to increased personnel expenses, and there are two main reasons behind those. One is the general pay increases in different markets and the other one is the increased salary cost in stores to support the retail growth. Then when we look at the profitability development from a cumulative viewpoint in the first 9 months, our cumulative operating profit grew by 4% and landed to EUR 23.1 million. The comparable operating profit number was EUR 23.5 million, representing 17.5% of our net sales. Again, very similar drivers behind us in the third quarter. So of course, it was the increased net sales that strengthened the operating profit, while then on the other hand, it was the weakened relative sales margin and the higher fixed cost that had a negative impact on the operating profit development. In the first 9 months, the relative sales margin was negatively affected, in particular, by the higher discounts than in the comparison period and as earlier estimated by the significantly lower licensing income, but also by unrealized exchange rate differences. Then again, the operating profit was supported by -- or the relative sales margin was supported by strong product margins. Fixed cost, similarly as in the third quarter increased due to personnel expenses, but also in addition, due to investments in the digital development. In the third quarter, we continued our determined efforts to build our international brand and to grow and nurture our international customer community. A lot of exciting events took place in the third quarter. For example, we launched collaboration collections with the iconic Finnish brands, Artek and Kalevala jewelry. And these collaborations provided yet again new perspectives or rather new -- provided new forms of timeless art of print making to our customers around the world. In the third quarter, we also organized 2 fashion shows in Copenhagen Fashion Week, we showcased our creative vision and new collections for summer 2026. And in Bangkok, we celebrated the 10th anniversary of Marimekko in Thailand via a fashion show that showcased our fall collection to our Marimekko community. We also organized various events around the world, really building up and reinforcing our brand desirability and growing our awareness. For instance, the Field of Flowers touring exhibition that showcases 25 new Marimekko floral print icons of Tomorrow that started its tour from Japan early in the year, started -- continued its journey in the third quarter to Taipei, to Tokyo to Ho Chi Minh City and to Osaka. Then at the same time, of course, the Marimekko omnichannel store network was developed and a completely new Marimekko store opened in Taipei. And in addition to that, 7 Marimekko pop-up stores, mostly in Asia, delighted our customers and grew our awareness. After the review period, we also celebrated the opening of a new Marimekko flagship store in Hong Kong when a Marimekko store opened on Leighton Road in the busy Causeway Bay area back in 2012, found its new home in a renewed space on the same Leighton Road street. Asia, of course, plays a really important role in Marimekko's internationalization and growth strategy, and we certainly see a significant growth opportunities in Asia for Marimekko in the long term. Something exciting that took place also in the third quarter was, of course, the lead up to the launch of Marimekko in Paris, namely, we opened our French language version of our pop-up -- of our online store in August and then started to build up our presence in Paris, the most important fashion capital in the world through a pop-up store in Le Bon Marché. And then after the review period, we launched a new pop-up store also in Galeries Lafayette. And finally, just last week, we celebrated the historical opening of the first ever Marimekko Paris flagship store in Le Marais. Paris, of course, being such an important fashion capital plays an even bigger role in the global Marimekko ecosystem, namely its kind of impact in terms of brand positioning and awareness creation span beyond Europe to also Asia and North America, this way, supporting our wider international growth efforts. Then moving on to our outlook for 2025. First, a few words in general. So of course, there are still significant uncertainties related to the development of global economy, such as the tensions related to geopolitics and trade relations and the indirect impacts of these tensions and other uncertainties as well as increasing tariffs on the general economic situation may be reflected in consumer confidence, purchasing power and behavior and this way can have a weakening impact on Marimekko. We're, of course, all the time as part of our normal ways of working, monitoring the development of all these situations and circumstances and we'll adjust our operations and plans if or when needed. Then a few words about seasonality. So due to the seasonal nature of our business, a major portion of our company's euro-denominated net sales and operating results are traditionally generated during the second half of the year. What is good to always remember is that the timing between the quarters of the nonrecurring promotional deliveries in Finnish wholesale sales and their size typically vary on an annual basis. And good to remember again that as we have been communicating since the beginning of this year, the licensing income in 2025 is forecasted to be significantly below the previous year's record level. Then moving on to net sales development, starting from Finland, our important home market. Despite the weak market situation, the net sales in our important home market, Finland, are expected to be approximately at the level of the previous year or increase slightly. The sales in Finland are impacted by the weak general economy and low consumer confidence as well as the development of purchasing power and behavior. In addition, also the tactical operating environment continues to have an impact. In 2025, so this year, the nonrecurring promotional deliveries in wholesale sales are estimated to be significantly lower than in the comparable year and weighted clearly in the second half of the year. Then moving on to the international sales. So altogether, we estimate our international sales to grow in 2025. Then when we look at our second largest region, the Asia Pacific region more closely. In the Asia Pacific region, this year, we expect our net sales to be approximately at the level of the previous year or increase slightly. What is good to note is that a significant part of our licensing income in 2024 was recorded as net sales in the Asia Pacific region. And therefore, as a result, the forecast decrease in licensing income in 2025 is estimated to have a weakening impact on net sales in this market area. Wholesale sales in the Asia Pacific region, which includes our sales to our loose franchise partners, are expected to also increase in 2025 despite the private consumption in China becoming more cautious during the year following the general economic uncertainties. Our long-term growth prospects in the Asia Pacific region remain unchanged. All the brick-and-mortar Marimekko stores and most online stores in Asia are partner-owned. And this year, our aim continues to be to open approximately 10 to 15 new Marimekko stores and shop-in-shops and most of the planned openings will be in Asia as in the many of our -- the preceding years. Then a few words still about growth investments and costs. So we, of course, develop our business with a long-term view, and our plan is to continue scaling our profitable growth in the upcoming years. Thus, our fixed costs are expected to be up on the previous year and also our marketing are expected to increase. The increased tariffs in the U.S. have a direct impact on only a small part of our business as the entire North American market accounted for 6% of our group's net sales in '24. And overall, our company has initiated diverse measures to mitigate the negative impacts of the tariffs. The early commitments of product orders from partner suppliers, which is typical of our industry and partly further accentuated due to the different factors, weakens our ability to optimize product orders and respond to rapid changes in demand and supply environment, which also increases risks. We, of course, work actively in all fronts to ensure functioning production and logistics chains to mitigate increased costs and other negative impacts and to avoid delays and to enhance inventory management. And finally, we reiterate our financial guidance for 2025. So our net sales for 2025 are expected to grow from the previous year, and our comparable operating profit margin is estimated to be approximately some 16% to 19%. Of course, the rapid changes and uncertainties in the global trade policy, the development of consumer confidence and purchasing power in our key markets as well as possible disruptions in global supply chains, among others, cause volatility to the outlook for 2025. But with these words, I would like to end my presentation and open up for the Q&A and invite Anna and Elina to join me here on the stage.
Anna Tuominen: Thank you, Tiina. Let's start with sort of setting the scene more. So you mentioned the challenging market environment. Can you sort of describe that a bit more? Or are there some specific geographical areas or countries where you can see more difficulties maybe or more generally?
Tiina Alahuhta-Kasko: I think this is referring to what we all read in the news every day. So the overall uncertainties impacting the global economy, the tensions in the trade policies, the tariffs and how they may impact the consumer confidence and this way, consumer behavior. So this is what we're referring to when it comes to the more challenging market environment. And then, of course, specifically, we have mentioned that in our important home market in Finland, of course, the weak consumer confidence and overall the tactical nature of the operating environment continues to impact. And that, of course, has a more direct impact to retail sales.
Anna Tuominen: We have a few questions related to retail sales. If one looks at the omnichannel retail sales in total, they were flat year-on-year on Q3. Is there something timing related here? Or should one rather look for country by country, the development or so at least in Finland, there was a small decrease, but in many countries, the retail sales grew also.
Tiina Alahuhta-Kasko: Yes. And I think that what I would here highlight is that when we look at the third quarter, our retail sales in the international markets actually increased by 13%. So very strong omnichannel retail development. And actually, the retail sales they developed very positively in most of the international markets. Then in Finland, they fell short in the third quarter of a very strong comparison period. But what is good to remember that also in Finland, when you look at the first 9 months, the omnichannel retail sales grew.
Anna Tuominen: Yes. There was also a slight decrease in the North American figures, both in retail sales and in wholesale sales in the Q3. Should one look there more at the cumulative figures as well? Or is there something specific for Q3?
Tiina Alahuhta-Kasko: As we've explained that when it comes to -- when it comes to certain markets like North America and like Europe, where the role of wholesale is particularly important out of the total. There also -- there might be seasonal fluctuations that may impact. So I think that overall, not specifically now, but overall, it's always good to look at the longer-term development, cumulative development. So for example, in North America, cumulatively, our net sales have increased by 5% and there our cumulative retail sales development has been actually double digits, so 10% growth in the first 9 months of the year.
Anna Tuominen: Thanks, Tiina. Maybe I can invite Elina to discuss a bit brand sales. We have a few questions around them. So first of all, overall, why are brand sales down both Q3 and year-to-date, especially outside Finland? And in more specifically in Asia Pacific. Is there something behind this? Or will that pick up at the latter part of the year, the remaining months?
Elina Anckar: Okay. So let me start from explaining first like why do we actually report this kind of KPI as brand sales. So we actually want to show the reach of the brand by announcing this kind of brand sales KPI. And this is illustrating how much estimated retail value sales do we have in each of the periods. And that is calculated by adding to our retail sales, sales, the estimated value of our wholesale channels sales in their retail value. And then in addition to that, we also the estimated value of the licensed products in their retail value. And regarding licensed products, they are then recorded while the products are sold in the world. So that is different a little bit from the -- how do we actually otherwise book the license income, which is then, of course, booked as according to the normal revenue recognition. But here, we want to really show the reach of the Marimekko products in a larger context. So actually, you can see that there can be quite a deviations also between the net sales and the brand sales, but that is related for the different timings of the retail sales. So I'm not like -- you shouldn't think too much about this sort of minus numbers here. And regarding licensing, maybe I could also continue a little bit from that perspective that, of course, like as we've talked many times, we've got like 2 different kinds of licensing, more kind of traditional licensing, where we have like more, so to say, contracts which are like continuing, but then we have this brand collaboration licensing contracts, which are not something that will be similar every year. And that is also related also for the negotiation rhythms and that's different with different companies. So we don't know at the start of the year exactly how much licensing income we will get during that year. So that is one of the income streams as well that we need to partially forecast ourselves. And they are also linked partially with the licensing partner sales volumes as well.
Anna Tuominen: We could actually continue with as there are a couple of questions related to licensing income and the outlook for this year.
Elina Anckar: Yes.
Anna Tuominen: As you said, those are sort of partly they are estimated revenues. And at the beginning of the year, Marimekko guided that the licensing income will be considerably lower this year. And at that time, it was also estimated that the net sales in the Asia Pacific region would grow. And now the outlook for the Asia Pacific region is to be somewhat slightly above or at the previous year's level. So what has changed from the end of June or August period when Q2 results were published until now?
Elina Anckar: So of course, like the -- it's like a couple of months since we released the Q2 results, but exactly like certain things like when we do the sales forecasting for all of the channels and then we gather all our like best understanding how the sales will develop. So that is covering all of the channels. But then, of course, we have mentioned something about regarding the China in special, like the consumer sentiment there. But I would say that it's coming from different streams.
Tiina Alahuhta-Kasko: And I think in the early part of the year, when we gave the market outlook, we already then estimated that this year, after the 2 record level years in licensing, this year will be significantly lower. Then it's good to remember that licensing income consists of several different kinds of agreements, traditional licensing, brand collaboration, so forth. And at this point in time of the year, as we're starting to be in the year-end, we have now specified the impact of the licensing income to have a weakening impact on the Asia Pacific net sales. So it's natural for us at this point in time of the year to specify it.
Anna Tuominen: Looking at the Asia region, are there some countries that you've seen a weaker development than you expected, for example, in China? Or has the demand overall there decreased since the August or is there something else that one should be looked at in the Asia Pacific region?
Tiina Alahuhta-Kasko: So actually, when we look at the Asia Pacific region, so if we look at the retail, wholesale and licensing, in wholesale sales in the Asia Pacific region, we have our sales to our loose franchise partners in Asia that operate the Marimekko omnichannel retail there in the most parts. And what we have also specified today that also in 2025, our wholesale sales in the Asia Pacific region is estimated to grow even despite the fact that we can see that during the course of the year, the private consumption in China has become more cautious due to the general macroeconomic uncertainty. So I think good development there despite all the uncertainties in the world.
Anna Tuominen: There are still a couple of questions here. But if you have questions in mind, now would be a good time to type them in. One question related to Paris flagship store. Were you satisfied with the launch? How has it performed? And can one expect it to contribute to the sales already in Q4?
Tiina Alahuhta-Kasko: So first of all, I had the pleasure to be in Paris for the launch of the historical first-ever Marimekko Paris flagship store. So I can say that having experienced a more than 100-meter queue of friends of the brand lining up to the store before we opened it, I think that really symbolized a very strong start and successful start for starting to really evolve our presence in the most important fashion capital of the year. As mentioned already in my presentation, Paris has a much bigger impact or presence in Paris has a much bigger impact than just impact in Paris or in France, namely because of the role of the city and its attraction both to the local customers, but to a very global audience of tourists, we can see that the positioning and the brand awareness effects of our presence in Paris can expand even to Asia and even to North America. And this way, through the awareness, through the positioning, through the strengthening of the Marimekko message and the differentiating message, we can see that it will support our long-term scaling efforts in a much wider area.
Anna Tuominen: Marimekko is currently on its scale strategy period, where one of the objectives is, of course, the international expansion. And we are now at halfway point sort of. So are you happy with how things are progressing? Or are there any planned adjustments for the upcoming years? And as a final question, is it possible to mention also are some of the 5 key success factors in the strategy? Are some of those sort of more critical to Marimekko than the others, for example?
Tiina Alahuhta-Kasko: So first of all, we are very happy about how we have been progressing in our scale strategy term that is from 2023 to 2027. And even despite the volatilities happening in the world, in the macroeconomy, the headwinds, we have been successfully continuously able to positively develop and grow our business and the brand phenomenon. And for example, in the first 9 months of this year, grow our international sales by 8%. So I'm very happy with that development, and we're very eager and excited and committed to continue our determined efforts and investments to scale up our growth. And then to the follow-up question with regards to the -- whether some of the key success factors, strategic success factors in the scale strategy are more important than others. Actually, these 5 key strategic success factors from sustainability, creative vision, accelerating growth, especially in Asia, the love for Marimekko Life and the NTN digitality, they form one entity. So we -- it's important that we develop and progress in all of them. Then if I had to name one thing that typically is the most important of it all, it is, of course, the brand and the product. So the creative vision to speak to an even wider audience. In the end, that's the heart of it all. And then everything else is there to support in kind of making Marimekko more accessible and spreading our Marimekko phenomenon all around the world.
Anna Tuominen: Thank you, Tiina. Thank you, Elina. Thank you for joining us, and we hope to see you again in February to discuss the full year results from 2025.